Operator: Good afternoon, and welcome to the Sysorex Global Holdings Corp. Earnings Conference Call, for the Year Ended December 31, 2014. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Participants of this call are advised that the audio of this conference call is being broadcast live over the Internet and is also being recorded for playback purposes. A replay of the call will be available approximately one hour after the end of the call through April 6, 2015. I would now like to turn the conference call over to Scott Gordon, Managing Director of CorProminence and Company’s Investor Relations Firm. Please go ahead sir.
Scott Gordon: Thank you, Jamie. And thank you all for joining today’s conference call to discuss Sysorex Global Holdings Corp’s corporate developments and financial results for the fiscal year and quarter ended December 31, 2014. With us today are Nadir Ali, the Company’s CEO and Wendy Loundermon, the Company’s Interim CFO. At 4 PM Eastern Time today, Sysorex released financial results for the year and quarter ended December 31, 2014. If you have not received Sysorex’s earnings release please visit the Investors page at www.sysorex.com. During the course of this conference call, the Company will be making forward-looking statements. We caution you that any statement that is not a statement of historical fact is a forward-looking statement. This includes any projections of earnings, revenues, cash or other statements relating to the Company’s future financial results, any statements about plans, strategies or objectives of management for future operations, any statements concerning to propose these products, any statements regarding expectations for the success of the Company’s products in the U.S. and international markets, any statements regarding future economic conditions or performance, statements of belief and any statement of assumptions underlying any of the foregoing. These statements are based on expectations and assumptions as of the date of this conference call and are subject to numerous risks and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. Some of these risks are described in the section of today’s press release, titled Cautionary Note on Forward-Looking Statements and in the public periodic reports the Company files with the Securities and Exchange Commission, investors or potential investors should read these risks. Sysorex Global Holdings Corp. assumes no obligation to update these forward-looking statements to reflect future events or actual outcomes and does not intent to do so. In addition, to supplement the GAAP numbers we have provided non-GAAP adjusted net loss and net loss per share information in addition to non-GAAP adjusted EBITDA information. We believe that these non-GAAP numbers provide meaningful supplemental information and are helpful in assessing our historical and future performance. A table reconciling the GAAP information and the non-GAAP information is included in our financial release. I will now turn the call over to Nadir Ali, Sysorex’s CEO.
Nadir Ali: Thank you, Scott and good afternoon everyone. Welcome to our 2014 earnings call and thank you for joining us. I am joined today by Wendy Loundermon, our Interim CFO. Wendy has been a strong member of the Sysorex management team since 2002 and has proven herself to be an excellent financial manager for our Company through all of our phases of growth. We are pleased to have Wendy’s experience, professionalism and continuity as we continue to execute on our strategy. As many of you may know Sysorex has experienced a major transformation over the past three years with some significant changes occurring in 2014. I want to use this time today to reflect on some key highlights from 2014, but also to provide some insights into the interesting opportunities we believe we are positioned for in 2015. I am proud of our team and our achievements in 2014. Our revenues increased from 51 million in 2013 to 63 million in 2014. We uplifted to NASDAQ and acquired AirPatrol Corporation. We were awarded two patents for the AirPatrol technology in 2014 and have more pending. We have made tremendous progress in integrating the culture, system and management structure of four separate companies into one. In addition we’ve been able to integrate and combine our product and services offerings to bring more value to our customers and differentiate us in the market. We accomplished things together that no one thought we could when we started this journey and we believe we have positioned ourselves to be a leader in the data analytics and location-based mobile solutions. In fact our strategy has positioned us well for the top-two interests of CIOs today, security and big data. We also believe that our unique products provide a perfect solution for the Internet of Things of IoT market. Simply put our combination of data analytics and location-based mobile products and services help our customers blend real world data and digital data to discover their valuable new insights. Our analytic solutions allow customers to uncover these insights hidden deep in the ever growing mountains of big data. We have developed a big data analytics platform that blends data from traditional software and network systems with the growing universe of mobile and Internet connected devices or things. In doing so we’ve created a fast, secure and scalable solution that we believe allows customers to answer their most complex business questions today and profit from the undiscovered business opportunities of tomorrow. Over the course of this call I’ll give some specific examples of how we are delivering this value to customers and how it is driving our growth and increasing our margins. As I mentioned on our last call Sysorex’s strategy focuses on four primary areas; growing revenue organically and through acquisitions; transitioning from the low margin to high margin products and service offerings; integrating our acquired companies; and executing on our technology roadmap. We continue to make excellent progress on these fronts. Let’s start with the revenues. Our revenues increased from 51 million in 2013 to 63 million in 2014 or approximately 25% over this period. This increase primarily driven by acquisitions but organic growth as well occurred despite trends in our business along with many other companies to shift to the software -as-a-service or SaaS model where we do not capture as much immediate upfront revenue but rather build a book of recurring revenue business. As I have indicated in the past, we intend to continue to look for acquisitions as well on the analytic side of our business that not only help us grow our revenues but deliver valuable IP to our products. Our gross margins also demonstrate that this team is executing on the strategy we have adopted. The increase in gross margins from 24% in 2013 to 30% in 2014, we believe validates our efforts. Our sales mix is shifting to higher margin products from recent acquisitions but also from our increased focus on Analytics and Managed Services business. Annual revenues for this services business have increased 67% in 2014 over 2013 and this business is contributing 40% to 50% gross margins to the IT Commercial Operating segment, which traditionally has gross margins of 17% to 20%. Let’s just think about that for a moment. This reoccurring high margin business along with the AirPatrol product is a fast and growing-pieces of our business as a percentage. You can think about companies like Hortonworks and others were getting multiples of 20 times revenue for similar revenue streams you can see the impact that we believe this could have on Sysorex. We believe these results provide yet another validation of our strategy. Now an update on our integration efforts, I am pleased to report that we have made significant progress on integration not only in terms of systems and infrastructure, but also in our management structure and our branding and positioning. In the latter part of 2014 the Company moved from managing our businesses as independently operated subsidiaries to a functional structure across the various businesses. Now all of our engineers report to a single CTO and all marketing staff reports to a single Chief Marketing Officer and so forth. This allows for better collaboration and coordination amongst our employees and also creates efficiencies in our operating model. This integrated structure also allows us to participate in a wider range of more sophisticated and profitable projects. One example of how our location-based technology and data analytics teams have been able to provide high-value services together for customers is the Carlsbad street-fair project we announced last quarter. On the surface it sounds like a simple project providing headcount at a fair, but the value of this project becomes dramatically more evident once you understand the multi-dimensional analytics that we provided to the various stakeholders including the city, the police department and the event organizers. Yes we provided real-time footfall analytics for America’s largest one day street-fair, but so much more than that as well. For the first time in the 20 plus year history of the event, event planners and city of -- Chamber of Commerce were able to get an accurate count of attendance, as well as average length of stay and foot traffic travel patterns. Our ability to analyze the data in real-time help deliver insights that were valuable to the wide range of stakeholders, the analysis allowed city planners and low enforcement to understand where people who are part accounting that they use public transportation, or a public safety risks or created by congestion, unsafe intersections and crowd overflow. It helped event organizers to understand where people were going and how long they were staying at various attractions, allowing them to know which parts of the event were most popular and successful. It was the combination of the location-based products with the powerful real-time analytics again blending that real world and digital world to help our customers. This is not the only customer or vertical that has this challenge of collecting and analyzing all of this data accurately and quickly. Whether it’s malls, casinos or agricultural companies we can get all of this data collected and analyzed in real-time. Our new management structure is also leading to collaborative discussions amongst our team that are resulting in new products and services based on their combined solutions. Let me give you an example of how that’s impacting our technology roadmap. Our location-based products are being integrated with our e-solutions product to offer new location-based advertising service that allows print advertisers to fully understand the impact of their ad spend, this new product called InPlace allows newspaper advertisers to track ad conversions from print and digital newspapers to actual in-store visits. E-solutions will use our location sensors and beacon technology to capture information when readers who view and/or scan an ad with their smartphone and then visit that advertiser’s location. Our extensive newspaper network and data avocation tools will collect consumer behavior data so advertisers can measure the effectiveness of their ads and the newspapers can provide real world metrics on click to brick conversions as well as provide highly targeted demographic profiling of its readers. InPlace would be announced at the Newspaper Association of the Americas National Conference this month and will be available later this year. While we are talking about new products let’s provide an update on some of the other products. Last quarter I talked about Big Data analytics as a service platform. If you recall this platform will provide various offerings that are derived from unique data generated by our products, including our mobile locationing detection products and combined with third-party data-streams in the form of SaaS and PaaS applications, this platform combined with our locationing product line delivers on our vision of helping our customers lend the real world data and digital data to discover these valuable insights. I am encouraged by the traction with customers that are interested in using our big data platform in the Sysorex cloud. In addition we will be delivering new versions of our location-based AirPatrol products that allow us to capture data from more types of devices, think wearables, sensors, machines, cars, et cetera, especially as the IoT market matures. With that I will now turn the call over to Wendy to discuss our financial results for the fiscal year ended 2014 and then I will come back on to provide some closing comments. Wendy?
Wendy Loundermon: Thank you, Nadir. We are encouraged by our progress in 2014. We saw good revenue growth and solid margin expansion for the Company. Revenue for the fourth quarter of 2014 was 15 million, revenue for the year ended December 2014 was 63 million, an increase of approximately 25% over 2013. The increase is primarily due to the acquisitions we have completed and excludes approximately 1 million in sales from our IT commercial operating segment that was not recognized in the fourth quarter as a result of a shipment that was delayed until first week of 2015. Gross profit for the fourth quarter 2014 was 4 million, gross profit for the year ended December 2014 was 19 million compared to 12 million for the year ended December 2013. Fourth quarter 2014 gross margin was approximately 29%. Gross margin for the year ended December 2014 was approximately 30% bringing us within the guidance provided compared to approximately 24% for the year ended December 2013. The increase in gross margin is a result of our sales shifting to higher margin products from recent acquisitions and an increase in revenue from our data analytics and managed services in the IT Commercial Operating segment. GAAP net loss attributable to stockholders for the fourth quarter 2014 was 1.8 million. GAAP net loss attributable to stockholders for the year ended December 2014 was 7.5 million compared to 4.3 million for the year ended December 2013. GAAP net loss per share for the fourth quarter 2014 was $0.09 a share. GAAP net loss per share for the year ended December 2014 was $0.42, compared to a GAAP net loss per share of $0.35 per share for the year ended December 2013. The increase in net loss was primarily attributable to the AirPatrol acquisition, amortization of intangibles, stock-based compensation and other expenses related to being a public company. Non-GAAP net loss for the fourth quarter of 2014 was 1 million. Non-GAAP net loss for the year ended December 2014 was 2.6 million compared to the non-GAAP net income of 132,000 for the year ended December 2013. Non-GAAP net loss per share for the fourth quarter of 2014 was $0.05 a share. For the year ended December 2014 non-GAAP net loss per share was $0.14, compared to a non-GAAP net income per share of $0.01 for the year ended December 2013. We define non-GAAP net loss per share as GAAP net loss adjusted for non-cash items including stock-based compensation, amortization of intangibles and one-time charges including gain on the settlement of obligations, acquisition costs and the costs associated with the public offering. Non-GAAP adjusted EBITDA for the fourth quarter of 2014 was a loss of 900,000. Non-GAAP adjusted EBITDA for the year ended December 2014 was a loss of 1.9 million compared to income of 569,000 for the year ended December 2013. We define non-GAAP adjusted EBITDA as GAAP net income or loss before interest, income taxes, depreciation and amortization plus adjustments for other income or expense items, non-recurring items and non-cash stock-based compensation. On the balance sheet we ended the year with cash and cash equivalents of 3.2 million and total current assets of 22.1 million. Our net cash used in operations was approximately 4.5 million for the year and we paid down approximately 2.6 million of our debt. This concludes my comments and I’d now like to turn the call back over to Nadir.
Nadir Ali: Thank you, Wendy. While we have previously provided guidance regarding our anticipated future results of operations, variations in our revenue resulting from the timing of customer adoption of our products and services and other related matters increased the likelihood that our actual results could defer materially from expectations. Therefore we have determined not to provide guidance in the way that we have done in prior quarters. We continue to build our sales pipeline and remain enthusiastic as it relates to our prospects going forward. We have over 1,500 customers across the Company resulting from these acquisitions and we are reaching out to them about our combined offerings. We are in high growth markets like big data and IoT that have 30% CAGR rates and devices that are expected to grow from 7 billion to 50 billion over the next five years. Security is another high growth market that we address uniquely with our products. We’re also leveraging the salesforce of our very large established resellers and strategic partners. These are all indicators of Sysorex is headed and how fast we can grow. Our highest growing products and services in terms of percentage are AirPatrol and our big data analytics platform and managed services. These are what will drive our business going forward. So let’s take a look at how these products come together and some real customer use cases we are working on. Sysorex is providing solutions to customers who face massive amounts of potentially useful real world data and digital data that are at a loss of how they analyze and examine that data to make it useful. One of our key partners has engaged us with a customer that is looking to improve healthcare outcomes with location-based asset management. We are working on a pilot in which we couple our ZoneAware product with a large household asset management system. The asset management system led to equipment like Infusion Pumps, notifying employees when it needs to be cleaned, but it doesn’t tell the employee where it is. For that we have to look up the location of the patient they we have an asset tracking system for that, but it only provides the floor not a room. If the employee can’t get to cleaning the equipment right away, the asset gets set aside and can even be lost. By connecting ZoneAware to the asset management system they will not only know exactly where the equipment is, but who added last and when. Overtime they will not only be able to return that missing equipment to use they will also be able to analyze asset and location data to see how long it takes to clean an return assets determine where equipment should be staged when it’s not in use and improve patient outcomes by shortening the time it takes to get equipment where and when it’s needed. We also have any other used cases with a variety of partners we have mentioned several of our mobile device management or MDM partners in the past and how we are spending time training their sale and engineering teams. That effort is starting to pay off as many of those partners are actively working key accounts with us today. We have recently signed a major new partnership with Pay Tel one of the largest correctional facility telecom companies in the country. This partnership came about because of our unique capabilities to collect and analyze data. We completed a correctional facility evolution in the south using ZoneDefense not only were we able to pinpoint the cell phones in use within the facility, but we were also able to analyze the data and time usage spikes to a specific guard shift change. And investigation revealed the guard was bringing in charged cell phones from the outside and then letting inmates use them for a price. Pay Tel heard about this investigation and recognized the compelling value of this product and will now offer it to their correctional facility customers. They are committed to being a major reseller of the ZoneDefense service. These are just some examples of how our unique service offering and proprietary technologies are helping our customers to collect analyze data to solve very real world problems. As I mentioned at the beginning of this call our integrated data analytics and location-based offerings have really come together to position us for Big Data cyber security and the Internet of Things. All of these markets are data and device driven which is our sweet spot. We continue to be very enthusiastic about the growth opportunities ahead for Sysorex in 2015 and beyond and appreciate the time you have given us today. With that Jaime we are ready to open up the call to any questions.
Operator: At this time we have allotted 30 minutes to address questions from participants. [Operator Instructions] And our first question comes from Joe Maxa from Dougherty & Company. Please go ahead with your question.
Joe Maxa: Nadir I just wanted to ask you a little more about the Lilien business, I see that it looks like you have had revenue fall off from the first half of the year in the last two quarters. And I am just wondering if that’s been a change in the previous product mix, and maybe give us a little more color on what you are seeing out there in the market near-term. I know you have talked about a lot of opportunities coming but I am just kind of curious how I should be thinking about that moving forward?
Nadir Ali: Yes I mean we definitely have that order in Q3 we talked about where our project got cancelled but customer is still is doing business with us. But in Q4 it was really pretty close in line with what we saw in the first half of the year except that we had a million plus approximately of orders that in December shifted a few days later and so that revenue is not going away just being recognized in Q1 as opposed to Q4. And that would have put us closer in line with what we did in the first half of the year. But just generally the focus on the Lilien side of the business is really to grow our Data Analytics Platform business and our Managed Services business. The higher margin pieces which are more strategic to us and then combining that with the AirPatrol products and so that’s where we are focused but that also means that it’s SaaS-based revenue right, using a SaaS model and so you don’t necessarily capture all of that revenue upfront. So those are the trends that we are facing and that’s why I mentioned that earlier on the call, which it’s not just a Sysorex issue many licensing companies and restart companies are transitioning to SaaS models. So you will see necessarily the pickup on the top-line there in terms of percentage than you would normally see but if you are building a book of business you are building a backlog, and recurring revenue streams.
Joe Maxa: So are you deemphasizing the previous more retailer nature of the business as you focus on the higher margin business?
Nadir Ali: We are certainly yes emphasizing the higher margin business, we are not necessarily turning away the other business, but the trends are that as folks move to putting their data in the cloud and hosting application to the cloud that reseller business is not as high growth. And so we are going to see the growth on these other sides of the business and strategically that’s more important to us.
Joe Maxa: So should we think about Lilien being more I am kind of thinking as top-line being maybe a flat year in 2015 yet but deferred revenues pick up, is that kind of a fair way to think of the business?
Nadir Ali: Yes, and for me and I think our Board we are looking at are we seeing progress in growth in those segments right in the higher margin pieces and I think that’s a good way to measure it. But yes I mean if you want to generalize about the consolidated top-line for that segment, then that could be.
Joe Maxa: And you would expect a higher gross margin of course.
Nadir Ali: Right.
Joe Maxa: Sampling along the AirPatrol line, I mean there is lot of projects where we’re not seeing all that come to the revenue side yet. Do you have a backlog or bookings number you could share just maybe show us some growth metrics you are seeing in that business?
Nadir Ali: We don’t want to share bookings and pipeline numbers at this time. But what I can tell you is we’re definitely making good progress on that front. We’re having solid discussions with a variety of customers. Agreed, that some of these sales cycles are longer. We talked about the government sales cycles that impacted ’14 for the most part. Last year, the revenues that we expected were really government driven and some of those things have taken longer. ’15 we expect that to have less of an impact because we have built a strong pipeline of commercial customers. But again, this is a early stage technology, it’s a new technology that’s being adopted. We’re kind of at that hopefully reflection point that we’ll start seeing some of the change, and pick up in the revenue on that side. But again, it’s lumpy. And we may have an average quarter, followed by a great quarter, and then an average quarter. So, that’s why we’ve kind of moved away from providing guidance on that front. I think we’re going to see more and more traction there. We’re still very enthusiastic about everything that’s going on in that side. But it is something that takes longer. And partly because of that example I talked about earlier with the various stakeholders, some of these engagements that our AirPatrol team is involved in, the opportunities are expanding, which means there could be potentially more revenue but it also means a longer sales cycle because you now have to deal with multiple departments evaluating the product.
Joe Maxa: So there were a number of large potential deals in the government sector in 2014 that didn’t materialize for you. Have those gone away, are they just being pushed off, and it could be another couple of years or what color can you just share there?
Nadir Ali: No, they haven’t gone away. What I would say is those are issues around budget and sequestration and bureaucracy with government contracting. But we will definitely see some of those in 2015 some will get pushed into 2016. We at least have them budget through this fiscal year, come September-October we’ll see what happens with next year’s budget. But, we do certainly expect some of those deals to convert to orders this year and then some may get pushed out.
Operator: Our next question comes from Jason Revland from Blueprint Capital. Please go ahead with your question.
Jason Revland: Two questions, the first is about just beacons in general and that’s just become a very fuzzy topic and everything I read about beacon suggests that retailers are positioning themselves for this tremendous multibillion dollar opportunity. What can you say about how AirPatrol can participate in burgeoning ecosystem, and how would you participate in that opportunity?
Nadir Ali: Sure I mean in first we have also have a beacon product that we’re rolling out and it will be part of the InPlace. But the good news is that as Apple and some of these other companies that have beacons out there and people are starting to understand the technology it helps to educate the customers which is something that we could definitely benefit from in the retail segment. But we can provide a much more comprehensive solution then what most beacon providers can do today. And so I think while we can if somebody is price sensitive or has a limited application then certainly they can use the beacon product for fulfilling their needs. But using our AirPatrol centers we can provide them much more comprehensive information capturing much more data across their customer set, a larger majority of the customers and then to provide the analytics on top of that. So, I think it definitely is helping our adoption and education in the marketplace we welcome that. But we think we’ve got a much stronger product offering.
Jason Revland: And as the follow-up to that, is there an opportunity for your technology which shift proprietary could that be delivered through a licensing arrangement as well as simply through the sale of your hardware?
Nadir Ali: So we have various partners in retail verticals and other verticals and we’re exploring all sorts of arrangements that would make sense. So, as we’ve said before AirPatrol is leveraging the channel, leveraging strategic partners and we continue to explore those opportunities.
Jason Revland: And my last question is a balance sheet related question. It was nice to see your cash position went up 500,000 in the quarter and I think you would repay a small amount of debt. Can you just give some general color on the working capital dynamic that took place during the quarter and how that might position you for the next six to 12 months?
Nadir Ali: Sure I mean I think Q3 we had more of a impact because of the lower revenues so that impacted our cash flows. We’ve started to make improvement on the revenue side and we expect that to continue and improve our cash flow going forward. We also through the integration effort have more operating efficiencies. So I expect all of those things to continue to help improve that situation.
Jason Revland: With respect to the operating efficiencies, does that meaning there might be a lower level of SG&A, just to be specific?
Nadir Ali: I am sorry a lower?
Jason Revland: Well when you say operating efficiencies are you referring to headcount or what specifically does, what does that mean operating efficiencies?
Nadir Ali: Sure I mean to some degree it’s headcount, it’s when you combine four different companies into one and are creating efficiencies not only on headcount but also in infrastructure and professional services. Other areas we certainly again combining offices where it make sense to all of those things factor into that and some of that of course will be offset with growth in the areas that we need to add, right, whether it’s sales or engineering to deliver our new product lines and revisions there. So it’s a combination of things, but yes you are on the right track there.
Operator: [Operator Instructions] Our next question comes from Ross Silver from Vista Partners. Please go ahead with your question.
Ross Silver: So just, you mentioned the 1,500 as a number of customers can you give us any kind of sort of what that is year-over-year that number. And then going forward how the sort of sales cycle works and how continued customer adoption may work and the way to look at it in terms of a percentage. Or I mean how should we look at that kind of going forward and what has that increased just over the last year?
Nadir Ali: Sure yes I mean roughly it’s 1,500 customers, I would say we are engaged with 1,000 to 1,200 typically in a given year. And they come from across the company. But we have 50 plus sales reps and inside sales folks and then we have marketing folks that are focused on demand generation et cetera to really reach out and adopt or attract new customers. So whether it’s on the data analytic side of our house or the locationing products we are reaching out and providing all sorts of marketing activities to bring new customers. And I think the fact that we have got answers to as I mentioned the top two issues on CIOs mind in terms of security and data, we can get the doors opened and have those conversations. So we are seeing traction on not only bringing new customers but we are really going to focus on more and more of the cross-selling within this base of customers that we have across the company. So the InPlace product that we mentioned to collaboration of the old assume division or e-solutions division and the AirPatrol product line right and taking that to the 700 plus customers we have in that space. And similar efforts are going on with the other parts of our business.
Ross Silver: And then just a follow-up question on the Jason’s question that you just kind of mentioned about the all the talk in the media of beacons and there is this trend of providing granularity for call it a department store as it relates to say a specific consumer and there is this trend towards getting that sort of micro information on that person right before you maybe were counting customers via security cameras someone sitting there with a clicker at the door. Where do you see this sort of the trend or this push towards gaining additional information and as much information as you can get from some of these customers that you are pitching. Is it something that they are very active in adopting or something they are sort of still considering just because there has been some adoption but it’s not fully proliferated amongst, where do you see this sort of within the cycles. Sort of the early stages starting to gain traction or just any from a macro level what would be your thought?
Nadir Ali: I think it’s definitely starting to gain traction where we are hearing about more and more supermarkets, retailers, casinos et cetera that are looking at using beacons or other technology because they know that they are not really getting the full picture when they use cameras or other methods of trying to detect how many customers, there is no real good conversion units. If you think of online right you have got click through and impressions and easier ways to capture how effective those Web sites and ad campaigns are. In the real world it’s much harder and that’s why we are so well positioned for this because we can make that connection, we can capture much more of the customer base that’s walking through a Macy's or a Nordstrom’s or a supermarket and know exactly where they are what they are looking for within that environment. But it also ties into if they have a Macy’s app or the mall app or whatever it maybe, so that you have much more information about that customer’s profile and can, not send them and bombard them with things that are not relevant to them but get more accurate and relevant information at the time that they need it not when they’ve left that part of the store, right. Other folks that we compete with can’t get there because their locationing is not as accurate and their analytics side is not there to be able to connect all of this in real time and deliver quickly. So, that’s what we’re talking about putting together and making it much more useful for our customers.
Operator: And, ladies and gentlemen we’ve reached the end of today’s question-and-answer session. I’d like to turn the conference call back over for any closing remarks.
Nadir Ali: Thank you, Jamie. I want to thank everyone again for your time today. We’re going to be presenting at the ROTH Conference next week in Laguna Niguel and then several others over the next couple of months. I hope to see you at one of these events. And we appreciate your time and interest in Sysorex. Thank you.
Operator: Ladies and gentlemen, that does conclude today’s conference call. We do thank you for attending. You may now disconnect your telephone lines.